Operator: The conference is now being recorded. Welcome to the conference call regarding the publication of Gerresheimer AG's Q2 Results 2021. At the moment, all participants have been placed on a listen-only mode. The floor will be opened for questions following the presentation. Now, I hand over to Ms. Carolin Nadilo, Head of Investor Relations at Gerresheimer AG.
Carolin Nadilo: Hi, everybody. Welcome and thank you for joining us today for our Q2 conference call. With me today are again Dietmar Siemseen, our CEO, and Dr. Bernd Metzner, our CFO. As usual, we are presenting a set of slides accompanying the management's notes, the half-year financial report and the presentation as well as the press release are posted on our Investor Relations website. Please note this call is being webcast live and will be filed on our website too. Before we start, I have to remind you that the presentations and discussions are conducted subject to the disclaimer. We will not read the disclaimer but propose taken it as read into the records for the purpose of this call. Now, it's my pleasure to hand over to Dietmar. Please Dietmar, go ahead.
Dietmar Siemssen: Yes. Thank you, Carolin. And good afternoon, ladies and gentlemen. And of course, good morning to those of you joining us from overseas. Welcome to our Q2 conference call. The second quarter of the running fiscal year, we have proven our strengths and accelerated our growth. The implemented measures growth alongside our strategy formula G are now bearing fruits, we are seeing clear success. We are on track for sustainable growth and are delivering to our promises. Let us start with the key takeaways of the second quarter. In the second quarter, we showed organic growth of 7.5% on group level and 7.1% in our core business. With that, we are on good track to deliver our guidance. We have reached 5.2% organic revenue growth for the first half of the running year; this is actually the best first half of our Company's history in regard to organic revenue growth. And it is time that we get used to these and hopefully even better figures in the future. Let us take a look at the bottom line. The organic adjusted EBITDA margin reached 22.8%, good result on the back of increasing raw material and also energy costs. The adjusted earnings per share increased on FX neutral base by 19.1%. Our high-value solutions are key growth drivers showed again impressive growth rates and increased by roughly 40%. Especially in the areas of ready-to-fill products like syringes, vials and biological solutions, we showed very good results. Dear ladies and gentlemen, as we are already in the middle of the third quarter, we are looking confident into the second half of the year and into Q3 in particular, confirm our guidance for the fiscal year '21 and also for the mid-term. Why are we so confident to further accelerate the growth? It is all about innovative solutions. With our broad portfolio and capabilities, we enable our customers to be more successful and to offer better solutions to their patients. Transforming our Gerresheimer into a solution provider and innovation leader, we're into make this tangible for you by showing some of our progress made in implementing the strategy formula G. With the implementation of our strategy, our future growth path is driven by innovation and I'm talking innovation all areas of the business. Today, we will deep dive into three focus areas. One, Gx biological solution, Gx biological solution underlines our cross-divisional approach and the importance of working as one Gerresheimer. The biological solution unit is a boost of the growth in a dynamic growth market. Second point is digital solution. We leverage innovations through digital solutions, identifying and anticipating new business opportunities of the future. And third, we focus on sustainability. We secure competitive advantages and long-term relationships through joint sustainable initiatives. Let us start with a deep dive into the Gx biologic solutions. Chart number 6 represents some of our current product portfolio, which we are steadily enhancing through innovation, important for me to underline is that our base and volume business is rock solid, as we are actually able to prove right now during the global COVID-19 pandemic. Plus, we are fully committed to this volume business and will enhance our product portfolio further by innovating solution or innovation solutions. Innovation becomes visible in two key areas at Gerresheimer. On the one hand, we are expanding the value chain by taking over additional production steps or services for our customers often in areas they don't define as their core business. For example, the washing and sterilization process or the decoration of high-end cosmetic products. With our joint approach as one Gerresheimer, we are looking for new combined solutions. That means that we will innovate in a cross-divisional way, establishing combined solutions of glass and plastic and offer our solutions with our global sales approach. On the other side, if you move into smart products defining digital business models and developing smart and connected devices. As announced, we are developing Gx Sens AIR, a platform for our on-body pump, which allows the application of large molecule formulations. This is a major step forward and a milestone in the work of Gx biologic solutions. We are serving our biological customers alongside the whole development and production lifecycle of their products, starting with the standard vial or cartridge over a ready-to-fill syringe in small batch production for instance or to an injection device and the pump. In an early phase, we offer small batch volumes and can later extend to large volume production. We are a company, the customer from the very early beginning with highest quality availability and maximum reliability. This is what creates long-term and sustainable customer relationships and partnerships. Sens AIR is one innovative example and prove that we are already today working on the earning potentials of tomorrow, participate in global megatrends in pharma and healthcare such as the growing trend for more self-medication. On-body pumps like Sens AIR will improve the life of our patients worldwide. This is what Gerresheimer stands for, innovating for a better life every day. Global mega trends in pharma and healthcare of a new business opportunities, digital solutions will be the door open for new business models. One example for a pharma megatrend, the global healthcare costs, they will continue to increase. Already today about 30% of the global healthcare costs that means about, for example, the USD700 million in the US alone are caused by the lack of therapy adherence and patient monitory. Through smart digital and connected solutions, we increased the success of the therapeutics and help to reduce global healthcare costs. This is the innovation we are working on. And this is no future top; it's something we are working on today. We implemented digital innovation hub, experts are forming a dedicated team with a particular focus on different disease fields. This is a key element implementing our digitalization strategy. The deep understanding of critical diseases impact for patients and their doctors and the implications for global healthcare systems. This aspect is essential to find and off to the right solution for into our customers. Let's have a closer look at Respimetrix being one very good example for digital solutions. Respimetrix is our first smart inhaler connecting patients with their doctors or disease managers through platform services. Mobile application allows the safety monitoring of the correct inhalation and the analysis of healthcare data. By that, we will increase adherence and patient compliance and we will reduce emergencies in hospitalization through reliable prediction of the disease processes. On our path to transform this into a growth company or Gerresheimer into a growth company as innovation leader and solution provider, we will continuously increase our capability in technology and data analytics with an irrevocable focus on customers and patient needs. The third deep dive is about sustainability and our progress in the implementation of our sustainability strategy in the second quarter. We are clearly committed to our sustainability future; this is reflected in our ambitious sustainability goals alongside our three strategic sustainable pillars GxPure, GxCircular and GxCare. We describe environmental, economic and social targets. For us, sustainability is a core pillar and a core strategic direction of our strategy formula G. We see significant growth opportunities arising from joint sustainability initiatives, clearly aiming for innovation leadership and excellence. CO2 reduction is key in our sustainability strategy and it is key for us to renew business. We invest into hybrid furnaces with next generation technology replacing gas with green electricity, thus reducing our carbon footprint significantly. Additionally, we look into the usage of hydrogen for further CO2 reduction. You attract customers by reducing the carbon footprint of molded glass and will extend our leading market position in this innovative segment in pharma and more and more cosmetics as well. In second quarter, for example, we also signed the United Nations Global Compact. We joined the world's largest sustainability initiatives together with more than 9,005 other companies, we are committed to support the 10 sustainability targets with regard to human rights, labor, environment and also anti-corruption. Through our sustainability strategy, we support our customers in reaching their own sustainability targets. With that, I thank you for the moment and hand over to Bernd to elaborate on the financials. Thank you. Bernd, please go ahead.
Bernd Metzner: Thank you, Dietmar and welcome everybody also from my side. Before we go into the analysis of our Q2 2021 figures, I want to briefly summarize our achievements. First, the second quarter was strong, reaching more than 7% organic revenue growth, marking the strongest first half in Gerresheimer's history with regards to organic revenue growth, we are well on track regarding our full-year 2021 revenue growth guidance. Second, our revenues were particularly boosted by our key growth drivers, high-value solutions, grew again by 40% and biological solutions by around 50%. And very important, this growth is reflecting a continuing trend, which will persist. Third, we achieved a strong organic adjusted EBITDA margin of 22.8% in Q2 in line with our guidance of 22% to 23% EBITDA margin for the full year. All in all, after the good start into the year, we managed to accelerate our organic revenue growth rate. And even more important, we expect this positive momentum at least to continue in the second half of the financial year 2021. Now, let's dive into the analysis of the key financials for the second quarter 2021. Reported revenues in Q2 2021 increased to €377 million translating into growth of 3.9% compared to Q2 2020. Adjusted for FX of around €12 million, we achieved strong organic growth of 7.1% year-over-year in our core business at 7.5% and 7.5% for the group. This is an impressive accomplishment in light of tough comps. Both divisions Plastic and Devices and Primary Packaging Glass contributed to the strong achievement, doubling the organic growth rate we achieved in the last quarter. Now, let's turn to earnings. In our core business, we managed to reach an organic growth rate of 3.1 percentage points year-over-year for the adjusted EBITDA with the corresponding organic margin of 22.8%. This is a strong achievement taking into account somehow higher input costs as well as tough comps in Q2 2020. For the Group, the reported adjusted EBITDA reached €82 million. This includes FX headwinds of €3 million compared to previous year. For the first half, we achieved an organic adjusted EBITDA margin of 21.2% which is on par to previous year's level of 21.4%. Bottom line, the adjusted net income increased by 8.5% to €40 million or €1.28 per share. Adjusted for FX, the annual growth rate of the adjusted EPS amounted to 19.1%. Now, let's have a closer look into the divisions. Plastic & Devices; revenues in Q2 amounted to €202 million and we are on par with Q2 2020. Adjusted for negative FX effect of €7 million, organic revenue growth was strong and reached 4.4%. Please keep in mind that we had a very high organic growth rate of 9% in Q2 2020. This was especially driven by last year's COVID-19 related boost in the demand for plastic packaging and inhalers. Our RTF syringes business again showed double-digit revenue growth and we also achieved a strong development in primary plastic packaging including Centor. The adjusted EBITDA in Plastics & Devices reached €53 million in the second quarter. Given €2 million FX headwind, the FX adjusted EBITDA was in line with last year's Q2, a quarter which faced significant tailwind by the aforementioned COVID-19 related boost with a favorable product mix. Against this background, we achieved a strong organic adjusted EBITDA margin of 26.2%, much better than our 24.9% if you take our Q2 2019 as a reference point for the EBITDA margin in Plastic & Devices. Now, let's go to Primary Packaging Glass. The Primary Packaging Glass division reached an impressive organic revenue growth of 10.3% fueled by mid-teen growth in our tubular glass business. The reported revenues in Q2 2021 amounted to €174 million. Due to FX effects, we lost almost €5 million compared to Q2 2020. The strong performance in our Tubular Glass business, once again benefited from high demand in high value solutions. Our high value solutions increased by 40% in Q2 2021 compared to Q2 2020 mainly driven by biologic solution, ELITE and RTF. The adjusted EBITDA reached €38 million in Q2 2021. Adjusted for FX effects, the organic adjusted EBITDA growth amounted to 7.8% year-over-year. This growth rate was achieved despite increasing energy costs amounting to a couple of million. So organic adjusted EBITDA margin amounted to 22.3%. Now, let's turn to Advanced Technologies. Revenues amounted to €2 million in Q2 2021 and we are in line with our expectations. Further adjusted EBITDA loss in Q2 totaled minus €3 million, also as planned. Please note that cut is not part of our full-year 2021 in mid-term guidance. On the next slide, we show our Group figures including advanced technologies and the reconciliation from the reported to the adjusted figures for Q2 2021. Reported Group revenues in Q2 came in at €377 million. Adjusted for FX, we achieved a strong organic revenue growth of 7.5% year-over-year. The adjusted EBITDA showed an organic growth rate of 3.9% year-over-year, which brings the adjusted EBITDA €82 million. Our main adjustments at the EBITDA level was for exceptional items mainly related to COVID-19 onetime cost, associated to guaranteeing appreciation payments to our employees or protection measures. Finally, I would like to conclude the review of the reconciliation slide with a comment on the reduction of our tax rate. In the second quarter 2021, we were able to bring down our tax expenses both in absolute and relative terms. The underlying tax rate in Q2 amounted to 24.1%, which represents a decline of more than 2.5 percentage points compared to the second quarter last year. The same is true for the first half. We were able to reduce the tax rate by 1.8 percentage points to 25.4%. This achievement shows that we are well on track to reducing the tax rate to 25% in the medium term. Let's turn to the cash flow. Given the high volatility of free cash flow in a single isolated quarter, a quarter is regularity not representative for the underlying performance. This was especially true for the second quarter 2021 with the free cash flow of minus €26 million. This as usual, a strong second half of the financial year depending on the execution of our CapEx plan, we expect a positive free cash flow for the full-year 2021, just for the re-collection. In the second half of 2020, we generated almost €100 million free cash flow. Let me now explain the three drivers of our cash flow performance. First, working capital. The largest impact comes from the net working capital increase and the data amounted to almost €40 million in Q2 2021. This is a pure phasing effect. In Q1 2021, we were €40 million better than in Q1 2020, now we are €40 million worse. We assured next quarter we will be better again. Second, taxes. The tax bill in Q2 2021, reflects a more normalized level, than our tax payment last year. Last year we had a tax benefit, which reduced our payments one-time. Third, CapEx program. We are executing on our unique business opportunities. As you know, we are sizing attractive business opportunities to accelerate our profitable growth performance. So we are investing for example into the capacity expansion for injectables and building up the capacity to accommodate the announced and attractive auto injector contract. All in all, the net financial debt stands at €1 billion. The leverage amounts to 3.3 times compared to 3.2 times last year. As a reminder, the financial covenant for our revolving credit facility stands unchanged at 3.75 times. This covenant gives us solid financial headroom. To sum it up, we have doubled the organic growth rates compared to the good start into Q1 2021. We expect the positive momentum at least to continue in the second half of the financial year 2021. Our structural growth and profitability drivers namely high value solutions and biologic solutions are sustainable and will further contribute to profitable growth. With this positive outlook, I now hand back to Dietmar. Dietmar?
Dietmar Siemssen: Thank you, Bernd. Now, let me also sum it up a bit and look into the future. We are looking into a strong second half of the year. We will keep the momentum for growth with further large contribution from high-value solutions. These three also growth from our capacity increase in syringes and vials, as well as positive impulses from cosmetics. The growth drivers defined at the beginning of the year are developing as expected. To sum this up, we confirm our full year guidance and stick to our plan to deliver mid-single-digit organic revenue growth and the adjusted EBITDA margin of 22% to 23%. In the mid-term, we confirm to guide for high single digit organic growth with an adjusted EBITDA margin of around 23% plus. The third guidance KPI is on adjusted EPS where we confirm to strive for growth of at least 10% per year. Ladies and gentlemen, we at Gerresheimer are on a mission. We are transforming our Gerresheimer into a growth company as innovation leader and solution provider. With an intense focus on profitable, sustainable growth, we will consistently prove that the transformation is happening and we will bring evidence to our long-term guidance for high single-digit revenue growth from '22 onwards. With that, I hand back to Carolin and look forward to your questions. Thank you.
A - Carolin Nadilo: Thank you for your presentations, both. So let's enter into our Q&A session. The lines are now open for your questions. [Operator Instructions] The first question comes from David Adlington from JP Morgan. Please, David, go ahead.
David Adlington: Good morning, guys. Afternoon guys, thanks for taking the question. Two please. Just firstly, just wondered, the sales growth benefits from price rises you take through the price rise on your cost through pricing on the cost inflation. Just wondering how that impacted the second quarter and how we should be thinking of that being a tailwind into the second half and into next year? And the flip side of that is how much of the cost increases in packaging through this second quarter and for the rest of the year please?
Bernd Metzner: Yes, I can take. I didn't get the second part of your question, actually I take the first part, easily. I think it's probably 1%, 1.5% of the growth that is driven by cost inflation. The cost inflation that we are handing over into price increases. And basically and then, David for the second part for this left over, it's really a couple of millions, which basically we cannot compensate via higher -- the price increase, but what is important it's a pure temporary effect. So the reality is that in the end you are able with our strong market position and this is we see and respect also in the history of our company that we are able really to hand over the cost inflation to our customers. And therefore for the next year actually, we think that we can compensate for 100% of the inflation if there might be inflation impact from this perspective. I hope it helps you, David?
David Adlington: It does, thank you. Maybe in terms of when we gave guidance at the start of the year, how much you baked into the revenue guidance for that inflation?
Bernd Metzner: Basically one as in the end this is 1 percentage point of growth which is now if you would into this kind of price increases, which we have not planned for that, something like this 1 percentage point for the full year.
David Adlington: Perfect, great. Thanks, guys.
Carolin Nadilo: Next question comes from Veronika Dubajova from Goldman Sachs. Hi, Veronika.
Veronika Dubajova: Hi guys, good afternoon and thank you for taking my questions. I have two please. First one is just on your confidence of further growth acceleration as we move into the second half of the year, both I guess sort of, it's a two-part question, both in the second half holistically and then as you think about phasing 3Q versus 4Q. And then my second question and apologies both of these are very financial but the free cash flow, I was wondering Bernd whether you can give a slightly more detailed bridge on how you get to stronger free cash flow generation in particular when it relates to the various working capital elements and what your expectations are for where they should end up in the second half of the year? Thanks.
Bernd Metzner: Yes, Veronika. I'm happy to take the first question that further growth. Yes, I think in the second half of the year, you will see further the high value products to proceed and very good. We have on top of this, there's a couple of launches we've planned earlier that are now taking place in summer and we will benefit from them. And then there is a couple of course areas where we set up new equipment, new capacities and they are steadied and now coming in place and they will also support us in the second half of 2021, example is the ready-to-fill line for example in bundle [ph] for the syringes that is now set up and it will steady to ramp up over the loop of the next six months until it's then finally bringing the full capacity by end of '21. But we see -- we will definitely also see the volumes here before. And for the syringes, whatever you produce at the moment, you can easily sell, it's really the market is much stronger in demand, than it's in capacity.
Dietmar Siemssen: Maybe just to take up your second question Veronika, thanks for that. As in the first, basically the triggers working capital for the second half of the year for the first six months, we actually invested in addition around €80 million in net working capital. And we think that we will have a release year of around €70 million, €65 million for the second half of the year to end maybe with €15 million buildup of working capital, which is almost in line with our organic growth, it's basically the trick and here you really get released from and obviously contributing our strong EBITDA, what we see for the next half of the year, that basically the key of the answer. And obviously 12% CapEx of sales is the assumption underlying.
Carolin Nadilo: Next question comes from Chris Gretler from Credit Suisse. Thanks.
Chris Gretler: Yes, hi Carolin. Good afternoon Dietmar and Bernd. Actually, I have a few questions. And first on these high value solution. If I remember right, at the Capital Markets Day that was indicated around 15% of sales of pharma sales. So if it grew at 40%, it's largely kind of the -- large majority of the overall organic growth. Is this about, correct. And the rest, contract manufacturing etcetera is not growing much would be the fair analysis?
Dietmar Siemssen: Yes, that would be bit too much, but there is no doubt. High-value products are strongest contribution. Now that everyone is talking about the COVID vials, we should not forget that in second quarter for example, just by Elite Glass we did twice the sales of the COVID sales. So the high-value solutions are definitely performing strongly. And Q2 was a very special quarter for the contract manufacturing as the 2020 second quarter was extremely strong because we benefited from the COVID strong demand in inhalers and diagnostic systems but also here in principle we are well underway and there will be quite some contribution coming with the second half of the year because we have a couple of launches that will support us in principle from August on.'
Chris Gretler: Okay. And then, just on the growth projects not enough that you broke out at the time. Could you -- I think you're already kind of indicated that like the RTF line in Bundes [ph] on track and also auto injector and maybe could you give us a broader update on the growth projects and how they track relative to expectation particularly. And if there is no, any extensions to come that you're working on, maybe?
Dietmar Siemssen: The growth projects of course fully ongoing and we should not forget. Our Gerresheimer or the company, we are talking about is a company that actually in the last years never grew properly and we are now -- we were disappointed in the first quarter, showing 3.0, what is it 3.2? It was actually one of the best first quarters we've shown. We have now in the first half year 5.2%. It's a very strong value for the old Gerresheimer, it's still not where we want to bring the company in the new Gerresheimer and we will get used to these figures. But the growth so what do I mean with this is the growth projects are clearly showing the first fruits and it's like I spoke about in my speech, it's a combination of course of high-value products on the one side, but also new innovation products and also very basic capacity increases that we with a better sales structure, better the customer -- focus on customer, better excellence levels are more successful selling to our customers. There is no doubt. Not everything here moves as fast as I want. That's why it takes some time but the order books are filling very nicely this year and it gives us a lot of confidence into the guidance we actually gave into the future. So I always talk about this drove path we are bringing the Gerresheimer on. To be honest this is not future we are there now. I don't know if you want to add something Bernd here.
Bernd Metzner: Yes, maybe Christoph, it's -- as you remember very well when we last year in the Capital Markets Day, it was after our budget process we basically predicted mid-term that we have a growth -- CAGR growth mid-term for high-value solutions of around 20 percentage points, something like this, until 2025, 2026. We will basically we make now a new plan, mid-term plan and based on the experience, which we have now with this kind of strong growth contribution of higher value products, you probably have to adjust for the better, but that's basically where we stand. It's too early to talk about because we have to revise now our plan but the input data, which we have a very confirmative and encouraging.
Chris Gretler: Okay. And then, my final question would be on Respimetrix. Actually, do you have any lead customer on that and what actually the timeline to get that technology to the market?
Bernd Metzner: There's a couple of things I can't disclose, but actually the Respimetrix, our smart inhaler is working, is developing very promising actually, it's one of the project, which we really like, because it's actually ahead of the time plan and it is not unlikely, I have to say this very careful, it's not unlikely that we might see first sales also from this new product in the end of '23.
Chris Gretler: Okay, good. Thanks. Let me step back. I appreciate your comments.
Bernd Metzner: Yes.
Operator: Now, we have Odysseas Manesiotis from Berenberg. Very happy to take your questions.
Odysseas Manesiotis: Thank you very much, Carolin. Good afternoon. So I have three questions. Firstly, for the last several years, I mean your second half margins have been another 300 basis points higher than the first half. So with this in mind when considering that, you had 21% core business margins this half. What has changed to, let's say necessitate a change of messaging in your full-year 2022, 2023 percent margin guidance given that you might be suggesting the lower year? Second question, you did describe strong double-digit growth in the syringes part of your Plastics business. But the overall growth it was about 4%. What is pulling you back here and when will the auto-injector contract -- manufacturing contract you mentioned in the CMD, will start kicking in, maybe this is something you can provide color? And thirdly, so profitability for the Glass Division seems to be going a bit backwards compared to the last half despite some favorable growth and mix affects you had from your high value solutions. Do you have a margin outlook for this division for 2021? And is there anything also pulling you back here given the mix benefits? Thank you very much, and sorry if the questions are too much.
Bernd Metzner: Thanks a lot for the questions. I will take up the first question regarding the margin, just to start with. We don't have a crystal ball and therefore it's very difficult to predict now how the inflation will go, continue, but I just want to tell you we have margin range for the full year of 22 to 23 percentage points. And somehow it depends whether we are going into the direction of 23 or whether we are going into the direction of 22 depends somehow also about the development of the input costs. It's actually, the situation as you see because, as mentioned before, and you have in a certain way temporary effect you see energy prices for example in CO2 certificates are increasing. But I can assure you that we will have in the second half of the year definitely a much stronger margin than in the first half of the year as you are used to it, that's the second half of the year is somehow stronger as in the first half of the year. Dietmar?
Dietmar Siemssen: Yes. I would have answered this shorter, there is no change in the guidance, and that's what we expect. But to the second yes, you're right double-digit in the syringes and 4.4 in the Plastic device division gives you the impression that the other areas are not growing that's not completely right, that's what I said before this tough comparison, because the second quarter 2020 was a 9.17% [ph] growth quarter, very strong with some tailwinds coming out of inhalers and the neurotic units that helped us a lot. But actually the Plastic Packaging is also developing nicely at the moment. And the contract manufacturing looks in the second quarter, flattish this will look quite different already in the third and fourth quarter back on the fact that we will also benefit from the auto injector that you are referring to that is in principle launching in August or now. And the third question to the profit of glass that goes in the wrong direction is something I can't confirm. That's why, Bernd?
Bernd Metzner: Can you repeat the question again because I was concentrated on the first -- to answer the first one. Can you repeat the question again regarding glass again?
Odysseas Manesiotis: Yes, of course. So I mean you for the quarter speaking, you did mention a much higher growth compared to this of the division or your high value solutions in particular. But I don't think we saw respective change in the margin as in we didn't see a big lift in the margin, so to say or to be honest. So, is there anything pulling your margins back here, are you having the mix effect that you expected here?
Bernd Metzner: There is no change in the margin. Margin is developing nicely. Basically if I look at the numbers, FX adjusted you have 22.8%, EBITDA margin in the second quarter of last year and now we have one-off 22.3 percentage points. And if you really zoom into you could debate that certain energy prices, we could not pass on to the increases we could not pass onto the customers, but it's really only a temporary effect as mentioned before, so really nothing to keep note off and visibility that our margin will improving also in the next couple of -- the next couple of quarters. So all good in the society.
Odysseas Manesiotis: Okay. Thank you very much for the clear answers.
Carolin Nadilo: [Indiscernible] from Deutsche Bank. Please go ahead.
Unidentified Analyst: Thanks for taking my questions. Firstly, you just mentioned the COVID vials, could you provide an update on your current order book and your expectations for the next few years. And do you expect another increase in demand for potential booster shots? And in terms of pricing, have you noticed or do you expect any pressure here? And then secondly, on your cosmetic business, how is this business currently progressing as this business was a headwind in 2020 and should now turn into a tailwind this year. What can we expect from it in 2021?
Bernd Metzner: Thank you for your questions. Maybe to the COVID vials, rough status we've permanently build up additional capacities I was reluctant in the beginning, no doubt about this because I was afraid that we wouldn't be able to use the machines after two years, but that is different because we changed our strategy and we clearly see long-term demand not only for COVID vials, but as soon as the COVID demand runs out, we will switch this into most likely high-value products like ready-to-fill vials. And such, we have built the lines in a way that we can either use them today or easily upgrade them to high-value products, and that's the right strategy. For the COVID vials we are shipping constantly to our customers serving the markets, we have in the first half of the year sold probably a bit more than 300 million units and you can in principle proceed with this along the year 2021. This means also for the second half in the similar ballpark. We have actually received, you're right, demand in quite some sizable demand for '23 for COVID vials, which indicates to me that but also our key customers do not see that the whole thing is over. But we are happy to serve this market, it's good business, but as I said before, we should not forget that the key driver of the growth not comes from the COVID vials, but also from other areas. You also spoke about the price pressure, it's something we get a reasonable price for the COVID vials. We are not using this situation to get especially higher prices because I don't think that would be fair and it would not be appreciated by our customers. But it's a reasonable normal price level that we are receiving for these products. The bigger value you have with the COVID vials is the significantly improved access to the customers. We have really significantly upgraded the performance of Gerresheimer in the last, let it be 18 months during the COVID pandemic because we have different access to the top layers of the customers where you in these meetings are not only talking COVID vials but especially also the full portfolio and that has really boosted the things that we anyhow planned within the strategy. The cosmetic business I could answer very short yes, to your question, because just we are seeing cosmetic steadily coming back with the headwinds we received last year we're now seeing of course positive impacts and it's coming back the cosmetic business and as I, in an earlier call indicated, we are in principle from our market position today stronger than we were before we've upgraded some of our facilities, a strong sustainability strategy increased capacities in declaration that really puts us in a different position and Cosmetic is something we will probably see quite some positive news, not only in the second half, but also in the next years from now.
Unidentified Analyst: Okay, thanks a lot.
Carolin Nadilo: Then, we have Daniel Wendorff from Commerzbank. Hi, Daniel.
Daniel Wendorff: Hi. And thanks for taking my questions. Three, if I may. First one is, can you talk about how the central business performed in Q2? And my second question would be basically clarification question on the timelines for your different input cost over what time you can pass them on to customers. I think there were differences between the different input costs. Can you clarify this? And then last question refers to the support program by the German government for building up corona vaccine manufacturing capacity including require products such as vials and the medicines [ph] come into effect yet? Have you applied for grants here? I was this adding to your P&L if at all and when? Thank you.
Bernd Metzner: Maybe Daniel, thanks for the question. Just to take on your first -- your second question regarding the input cost, how we are managing this to what our customers, we actually have two topics. One is raw material, the other is energy. In the regarding raw material more or less you are able significantly to translate this immediately based on contractual agreements and to the customers. This is 1% you have the other areas is the energy especially if you have input cost increases in the energy also here it's a temporary effect, but last, especially in the area of molded glass it last actually six months until you really can pass this onto the customers. It's basically the key concept, so in the end you have maybe a one-time effect, but not lasting and this is the key message other regarding [indiscernible]. Bottom line is in line with previous year. The -- you see however some sales increases because of the topic just mentioned, price goes up, you're passing a significant chunk to our customers and this just basically also increase the sales and as mentioned by Dietmar before 1 to 1.5 percentage points overall for the company you can basically attribute to this kind of effect.
Dietmar Siemssen: Yes, I can take the third one, the support program of the government. The point is there is there will obviously be a support program coming from the government. If there is a program, we will definitely apply for it and go for it. And this is in principle status, I can give to you.
Daniel Wendorff: Okay. So, there has not been any decision taken basically?
Dietmar Siemssen: No.
Daniel Wendorff: Okay, thank you.
Carolin Nadilo: Then, we have a follow-up from Veronika Dubajova from Goldman Sachs.
Veronika Dubajova: Hi, guys. Thank you for taking my follow-up. Just sort of a big picture question and to slightly challenge you obviously you've seen some nice benefits from pricing this quarter that were a bit unexpected. And I think the growth rate is good, but if we strip out that pricing benefit it doesn't seem to have accelerated meaningfully versus last year. I guess kind of bigger question what is not going to plan and how confident are you still when you think about not just the second half of the year, but if I'm thinking about '22 and '23 where you have this high single-digit growth stripping [ph] out the pricing benefit from the first half, you're still only about 4% to 5% it seems quite a big acceleration you'd have to deliver as you move into the next 12 to 18 months, just to challenge you a little bit on that if you can help us understand. And I guess along those lines, kind of what the path looks like to get to that high single-digit growth rate?
Dietmar Siemssen: Yes, thank you for the challenge but I'm cool here; this challenge is easy to answer. In the first quarter, actually, we didn't see any price increases because we didn't see them, it was in the second quarter and 7.5% we showed. If you take this 1%, 1.5% price increase off your -- still at a solid level of 6%. So I don't think that there is anything that goes wrong, we are very well underway. We have planned a stronger second half this year from the very beginning because we knew about the additional and new launches in the second half of the year and that gives me a relatively solid confidence into the growth guidance that we gave for this year.
Veronika Dubajova: Okay, thanks very much.
Carolin Nadilo: Are there any further questions? As this is not the case, we would like to say thank you for joining us today. All the best stay healthy. Goodbye.
Operator: Ladies and gentlemen, thank you for your attendance. This call has been concluded. You may disconnect.